Operator: Hello everyone and welcome to our Second Quarter 2024 Results Call. This event is being recorded. Our speakers today will be our CEO Marcelo Benitez; our COO Maxime Lombardini, and our CFO Bart Vanhaeren. The slides for today's presentation are available on our website, along with the earnings release and our financial statements. Now please turn to slide two for the Safe Harbor disclosure. We will be making forward-looking statements which involve risks and uncertainties, and these could have a material impact on our results. On slide three, we defined the non-IFRS metrics that we will be referencing today throughout the presentation, and you can find reconciliation tables in the back of our earnings release, as well as on our website. With those disclaimers out of the way, let me turn the call over to our CEO, Marcelo Benitez. Marcelo?
Marcelo Benitez: Thanks, Michelle. And hello, everyone. Thanks for joining us to discuss the company's performance during the second quarter. This has been an outstanding quarter for us at Millicom. And before we begin, I want to express my heartfelt thanks to all the members of the TIGO team. We have strengthened TIGO’s market leadership and successfully implemented a more efficient platform to ensure the company's profitable growth for the years to come. Once again, a huge thank you. Now please turn to slide five for the highlights of the second quarter. The key highlight this quarter is our equity free cash flow, which reached $268 million and consistent with our current capital allocation priorities, we use this cash flow to reduce our net debt. So our leverage ended the quarter at 2.7 times, thanks also to the organic EBITDA growth of almost 20%, which is coming from continued growth in mobile and B2B business and from the very significant efficiencies that we have unlocked over the past year. During this quarter, we've also made significant progress on several strategic projects that have the potential to greatly improve EFCF and return on capital across the group for the years to come. Bart will give you an update on some of these projects toward the end of today's presentation. Now let's review each of these highlights in more detail, beginning with our mobile business on next slide. For a second consecutive quarter, mobile service revenue grew 5% in Q2. This is just an acceleration, compared to growth of just over 2% that we experienced during 2023. And there are four key drivers behind our stronger mobile growth this year. First, our network, we have invested in all our operations to enhance our mobile network capacity to support the growing demand of mobile data. This has enabled us to increase our pull through carefully planned price increases, beginning with prepaid. Second, postpaid. We have continued to actively migrate our best prepaid customers to postpaid. This explains about half of our postpaid net ads, which have been consistently strong over the past year. As you can see on the chart on the left. Third, convergence. We continue to promote our convergence offerings, and this drives lower churn, higher ARPU, and better customer lifetime value. Fourth and finally, improve market dynamics in Panama and Guatemala. As many of you know, the telecom sector requires ongoing investments to keep up with the growing demands of our consumers. This ongoing need makes it challenging for small players to remain competitive over time and has contributed to a global trend of consolidation into two or three leading players. Fully in line with this trend, you have seen our recent announcements in Colombia and Costa Rica. Please turn to the next slide to look at our home business. As most of you know, over the past year we have prioritized profitability and cash flow over growth in this business. We have continued to charge installation fees driving quality for gross ads, we have implemented price increases across all markets, and we have become a more return-focused on our network expansion. These initiatives have led to strong ARPU improvement, and as you can see the benefit to EBITDA and cash flow is very clear, especially in Colombia. Now we are ready to move from a defensive mode to an offensive strategy. With very significant upgrades on HFC networks, offer simplification and increased commercial aggressiveness in low penetrating nodes, and we have strengthened our distribution and strong push on FMC. All of these initiatives combined have had an immediate beneficial impact on customer experience and have allowed us to reduce churn by 60 basis points. And we are starting to see our net ads flag in positive territory in Q2, as you can see in the chart on the right. We expect this improving trend to continue in the second-half of this year. And if we can deliver on this, our home business should be in a position to grow service revenue again in 2025. Please turn to the next slide to look at B2B, which had another solid quarter. B2B service revenue grew almost 6% organically this quarter. Over the last 12 months, our B2B business generated $970 million in service revenue. A big part of this growth is coming from digital solutions that grew 30% in Q2, and is now a quarter of a million dollar business. The two large Panama projects have contributed meaningfully to our growth on the past year. And this will create a tougher comparison for us as we get to Q4. But we continue to see solid underlying trends, and we hope to win more of these kind of large projects in the future. Our solid B2B performance is also coming from continued growth in SME client segment, especially in mobile. Now let's review our performance in our three largest countries beginning with Colombia on next slide. The key highlight in Colombia this quarter is EBITDA margin at 39.5%. This is a new record for us in Colombia. There are three key drivers to our improved margins in Colombia. First, as you know, we have taken a lot of cost out of our business over the past year. Second, and as I mentioned earlier, we also make commercial decisions that have significantly improved the profitability and cash flow profile of our home business. And Colombia is our largest market for home services. And third, we continue to grow and gain scale in our mobile business. And this incremental revenue growth comes with very high margins, especially because most of the growth is coming from ARPU increase. Let's take a quick look at our Q2 performance in Guatemala on the next slide. As you'll recall, our Guatemala business faces some intense competitive pressure over the past two years, and competition remains very intense in the market. That said, we have seen a bit more stability since the second-half of last year. Let's not forget that we had two successful spectrum auctions last year. As a result, we now have spectrum parity which has fostered a return to a more rational competitive environment. We saw signs of this beginning of Q1 and this improving trend continuing in Q2 with service revenue accelerating to 3% from 2% in Q1. And the savings from our efficiency programs have allowed us to translate low-single-digit revenue growth into high-single-digit EBITDA growth. Now let's take a look at Panama on the next slide. The key highlight this quarter is our mobile service revenue growth, which accelerated to 14%. This is the fastest growth we've seen since the post-pandemic boom we've experienced when mobility restrictions were lifted. A big driver of this acceleration in Q2 was the consolidation of the market from three to two players, which contributed to our mobile customer growth this quarter. On the right, you can see how the combination of mobile growth and cost and CapEx savings from efficiency programs have translated in a sharp increase in quarterly OCF since the beginning of the year. Panama, with its stable and dollarized economy, is securing its position as the second largest contributor to Millicom’s equity-free cash flow. Now let me turn the call over to Maxime to say a few words about our efficiency programs and the impact this has had on cash flow and leverage on this quarter.
Maxime Lombardini: Thank you, Marcelo. First, I want to congratulate you on your appointment as CEO. The company is in good hands and it's a pleasure working with you and the team through the end of this year and to support you beginning in January from my role on the board. Now, onto efficiencies. As you know, it has been the area that I focused on immediately when I joined as CEO less than a year ago. [Indiscernible] was underway, but there was opportunity to grow well beyond the initial scope. Specifically, we focused on six key areas of opportunity as we prepare the budget for 2024. You can see these listed on the chart. We took action and implemented most of this during Q4 2023. And this is why we have been able to deliver such strong financial performance in the first-half of this year. Let me give you a few examples. We reduced by 24% the cost of centralized functions that generated no revenue. We reduced that count by more than 20% year-on-year, with reductions of between 15% and 30% in most geographies. As a result, total employee costs are down 15% organically, excluding restructuring costs. And we are not replacing employees with consultants. The contrary, we have also reduced spending on external services by more than 15%. Then we reviewed every programming and content agreement and every software license that we added, and we found opportunities to switch to lower-cost and in-house solutions or to drop some vendors completely. We successfully have negotiated many contracts. Overall, we have reduced our spending on programming by almost 20% and IT spend by more than 10%. And finally, you have seen that our CapEx has declined meaningfully. Most of this decline is the result of our focus on efficiency. Payback is now the key word when challenging CapEx. The CapEx strategy is also supporting an ambitious network quality improvement. As Marcelo explained a few minutes ago, we have invested to increase speed on our HFC network. The same for mobile, where we pay attention to network quality. This provides a strong customer satisfaction, which translates in churn improvement. As a result of this efficiency focus during the last quarters, Millicom is becoming a more efficient company, both in terms of process and economics. We are doing more, faster, with less OpEx and CapEx, and we are generating cash. It's a new DNA for the company. As you can see on the next slide, this has translated into very strong improvement in equity free cash flow in the second quarter of this year, compared to last year. This combination of strong EBITDA growth and cash flow generation is bringing the leverage down very quickly, as you can see on the chart on the right. And while we are very pleased with these results, I can tell you there is still more that can be done, and we are already taking steps to ensure that the company can continue to sustain and grow its cash flow well beyond this year. Now let me turn the globe over to Bart to review the financials for the quarter.
Bart Vanhaeren: Thank you, Maxime. Now let's look at our financial performance beginning on slide 15. Service revenue was $1.36 billion in the quarter, this is up 5.5% year-on-year from $1.29 billion a year ago. For the second quarter in a row, we have some tailwinds coming from FX. Excluding these impacts, organic growth was 2.1% in the second quarter. And this is similar to our growth rate in recent periods when we exclude the large B2B projects in Panama. Our mobile business is up mid-single-digits, fueled by ARPU growth, while fixed and other services declined low-single-digits. The performance in fixed reflects mid-single-digit growth in B2B, which partially offset a mid-single-digit decline in our home business. EBITDA was up 23.1% year-on-year to $634 million. As indicated to you last quarter, restructuring and other one-off costs continued to be part of the business for a while and this quarter amounted up to $23 million. This is included within the $634 million of EBITDA we are not adjusting for it. The very strong growth reflects the combined effect of the service revenue growth I just discussed, but more importantly cost savings from our efficiency projects. Equity free cash flow for the quarter was $268 million, which compares to an outflow of $24 million in quarter two of last year. The significant improvement is coming primarily from the EBITDA growth that I just discussed, from a significant reduction in CapEx and from better working capital management. Regarding the CapEx, although we have benefited somewhat from a slower phasing of our CapEx spend this year, we continue to expect that our CapEx for the full-year 2024 will be significantly lower than in 2023. More specifically, we now expect full-year CapEx of less than $700 million, which means a reduction of more than $100 million, compared to last year. Going down further to the service revenue by country on the next slide. As Marcelo already mentioned, Guatemala grew 3%. This compares to a growth of 2% in quarter one. As we now have the full quarter benefit of the prepaid price increase we implemented in February. Columbia's service revenue was once again flat in local currency. We continued to sustain high-single-digit growth in mobile, but this was offset by a double-digit decline in our home business. Adding to what Marcelo mentioned, we now see improving net ads in our home business and we hope this is the beginning of a new trend that will translate into a higher revenue going forward. Panama's service revenue grew 6.3% fueled by strong growth in B2B and mobile, where we benefited from a full quarter effect of consolidation in the mobile market. Marcelo mentioned this already. Bolivia service revenue was flat with growth in mobile and B2B offset by a decline in home, where we continue to invest prudently, given the continued macroeconomic uncertainty in the country. Paraguay's service revenue grew 1.8% in local currency. You'll notice that growth has slowed down from 4% in quarter one, but this is largely due to a very strong Q2 last year, when service revenue grew 9.6%, making this a high standard to match. Service revenue in our other segments, comprised of El Salvador, Nicaragua, and Costa Rica, increased 2.2% in dollars. As mid-single-digit growth in mobile and B2B more than offset a mid-single-digit decline in home. Now please turn to the next slide for a look at EBITDA by country. Guatemala EBITDA increased 8.4% in local currency terms and the margin is now reaching 54.3%. Both the growth and the margin were slightly better than our performance in quarter one, which reflects the full quarter effect of our February price increase as I mentioned earlier. Colombia EBITDA growth accelerated to 34% and the margin reached 39.5%, which is a new record for the business. We are very pleased with our improved profitability in Colombia and we are now starting to reinvest in the business in order to accelerate service revenue. For this reason, I want to caution everyone that we are not expecting additional margin expansion in the second-half of the year in Colombia. Regarding the possible acquisition of Telefonica Colombia, I would just say that nothing changes in the short-term as there is still a lengthy process ahead which may or may not result in a transaction. But I would add that this does bring renewed enthusiasm for the business after last year's struggles. And it sets us on a path to create a strong number two player in a rejuvenated industry and at the same time unlock meaningful synergies to allow us to responsibly invest in network and customer experience within our new return focused investment strategies. Panama EBITDA grew 22.6% and the margin was 47.8%. This was our highest margin in the last five years. And what you are seeing is one, the textbook operating leverage on the new revenue coming in from the former digital customers; two our B2B growth, as well as three very material savings from our efficiency programs. Paraguay EBITDA grew 12% organically and the margin was 48.3%. This is up almost 5 percentage points year-on-year and flat compared to Q1. Going forward, we will be closely watching the currency rate, which weakened 3% during quarter two. Any further weakness would potentially pressure our margins given that some costs such as programming and international bandwidth are denominated in U.S. dollars. That said, as you may have seen, Modi's recently upgraded sovereign rating to investment grade, so hopefully this will help attract foreign investment into the country and help support or even strengthen the currency over time. Bolivia EBITDA increased 9.2% due to savings from efficiency projects and reduced commercial activity in home. The EBITDA margin increased more than 4 percentage points over the past year to 42.5%. We continue to prioritize profitability and cash flow overgrowth in Bolivia, given the very uncertain macro and political situation. A word of caution here is that although the business is performing very well, we are no longer able to access sufficient amount of U.S. dollars to pay international vendors and continue to actively pursue conversion of U.S. dollar contracts in local currency contracts. EBITDA in our other segments increased 14% in dollar terms driven by revenue growth and cost reduction. EBITDA grew in all three countries in this segment. Now, please turn to slide 18 for a look at equity-free cash flow. As we've already discussed, EBITDA for the quarter was $634 million, that's up $190 million from last year. Cash CapEx was $154 million, this was down $70 million versus last year. And Spectrum was $22 million, this was also down $26 million year-on-year. Changes in working capital in other was positive $60 million. This is $85 million better than last year on the back of an increased focus in this area and from unwinding some negative working capital movements in quarter one. Taxes paid were $82 million, which is almost unchanged versus last year, and financial charges were $105 million. This is $4 million increase, largely due to higher commissions on U.S. dollar purchases in Bolivia, that I just mentioned, but also currency impacts and anticipated interest on repurchase bonds. Lease payments were $90 million, an increase of $17 million due to the Columbia Tower sale for which we are now paying rent, and currency effects in Colombia, as well as annual inflation adjustments to our leases. Altogether, equity-free cash flow was $268 million during the quarter. This represents an increase of $292 million, compared to quarter two 2023 and sets us now well on our way to achieving our 2024 EFCF guidance. We used this cash flow to reduce our net debt which declined by $325 million to $5.65 billion. And as Maxime already mentioned, this resulted in further acceleration of our deleveraging with a quarter two leverage at 2.77 times down from 3.1 times at quarter one and 3.3 times at the end of last year. In addition, you will be able to see in the appendix to this presentation that we have a very comfortable maturity schedule and a balanced credit profile, well aligned with our treasury policy objectives. Now, please turn to slide 19 to review our financial targets for 2024. You will recall that we recently raised our equity-free cash flow target to above $600 million in 2024, and we are well on our way toward this target, given that one, a very strong target performance in Q2, and secondly, the fact that the second-half is usually seasonally stronger than the first-half. For avoidance of doubt, please do not use our quarter two equity-free cash flow as the run rate going forward. We do have phasing of CapEx that will accelerate, seasonality effects, and several risk factors to take into account. This free cash flow generation, combined with strong EBITDA growth, has put leverage on track to end 2024 near our intermediate term target of 2.5. As a reminder, these targets exclude any cash proceeds and related costs and taxes from a potential tower transaction. Now, please turn to slide 20 for an update on some of the strategic projects that we have been working on. First, in Colombia, we announced on Wednesday that we signed a non-binding term sheet with Telefonica to acquire their stake in Coltel, their Colombian operation, for $400 million equity value. As part of the agreement, we also intend to offer to purchase the remaining 32.5% of Coltel owned by the government of Colombia, and we intend to offer to buy EPM's 50% stake in our own Colombian operation, altogether for a total of $1 billion equity value. This transaction would roughly double our size in Colombia and unlock significant synergies in line with comparable transactions, giving us the skill needed to compete and invest responsibly, return focus as we say, in the digital infrastructure that the country needs. Our non-binding agreement is just the first step of what we expect will be a lengthy process to negotiate and finalize long-form binding agreements, as well as obtaining regulatory approvals. As I said earlier, we're enthusiastic about the potential to create a much stronger Telecom operator that will help to rejuvenate the entire industry in Colombia. We expect to finance this investment with our equity cash flow generation, consistent with our long-range plan that was recently disclosed. Second, in Costa Rica, we announced yesterday that we have agreed to combine our operations with those of Liberty Latin America in a cashless merger. This transaction would create the clear number one fixed mobile operator in Costa Rica and give us the combined scale needed to accelerate fiber deployment in the country. We expect to own approximately 14% of the combined entity with some variance for usual closing conditions expected to be in the second-half of 2025. Third and finally, regarding our towers. Here as well the status was disclosed to you a few weeks ago, and considering those negotiations, a majority of our tower portfolio are ongoing, we would want to avoid commenting further at this time. With this, I hand it over back to you, Marcelo, for some final comments before we take your questions. Thank you.
Marcelo Benitez: Thanks, Bart. Before we take your questions, I'd like to share with you the key priorities I've laid out for the second-half of this year. First, we must deliver on our 2024 targets. As you can see, we are well on our way, but there are still many risks that we have to navigate. Second, we need to execute on the strategic projects that Bart just talked about. Colombia and Costa Rica are the only two countries where we have not historically been able to grow our equity-free cash flow. And these projects should help us change this. Third, and as Maxime mentioned earlier, we are already taking steps to position the company to sustain and grow equity-free cash flow in 2025 and beyond. Now back to you, Michelle.
Operator: Thanks, Marcelo. We will now begin the Q&A session. And as a reminder, if you'd like to ask a question, please let us know by emailing us at investors@millicom.com and we'll add you to the queue. Also, before we begin, we want to caution you that we cannot answer any questions about the ongoing tender offer process. And I simply want to remind everyone that all of the information related to this process is available on our website. We cannot provide any commentary or offer any legal interpretations of that information. So with that disclaimer out of the way, let's go to our first question from Andreas Jossen from Carnegie. Andreas?
Andreas Jossen: Yes, good morning, good afternoon to everyone. Two questions from my side. First of all, on the long-term plan that you revealed a couple of weeks ago, just curious to see where you see the further improvements from where we are now, so to say, from the 600 levels, so to say, and up to the 2026 long-term target? And secondly, on the announcement this week on Colombia, you mentioned a little bit about it Bart, but the main rationality behind the plans and ambitions that you have is it to gain scale and from there grow the profitability or are you encouraged on what you have done yourself in Colombia and feel that you can do that for Coltel as well and improve profitability through synergies on that side? Thanks.
Marcelo Benitez: Thank you very much, Andreas. I will take the first question, and I will let Bart to answer the second. We have still six months to go in 2024, so I prefer not to comment on ‘25 and ‘26 figures. But I think it's important for you to know how the process works. Every year we update our LRP, Long Range Plan. This is a very detailed update that is made with review with the countries and all the functional areas. It's also part of our impairment test in SOCs and auditors reviews it and they also challenge it. So it's a process that we do every year. And on the half of the year, what we do is basically we update, including the results of H1. So those are the numbers that you have seen that are out there. What I can tell you is this, we do believe one that our all operational initiatives, efficiencies initiatives are recurring and sustainable. As Maxime mentioned, these are all an evolution of our way of working. I mean, more focused and agile organization. So this is here to stay, right, in Millicom. Second, the benefits from all these initiatives are going to be reflected on a full-year run rate in ‘25 and ’26. So today we are still implementing this as you see. I mean we have severance in H1, we have a bit of severance also in H2, but on the coming years you will see the full effect. CapEx is going to grow a little bit, but very much in line with revenues and the focus on CapEx is going to be to strengthen our networks in order to capture the data growth in mobile and fixed. So with all that, we feel our view is that these levels of EFCF are sustainable over the coming years.
Bart Vanhaeren: Thank you, Marcelo. Maybe also just to add on the mathematics, if you look at the EFCF for the second-half that would put us well on track for reaching that number for next year that's for the modeling guys. As it comes to Columbia, I would want to start with last year. We had a tough year last year. We capitalized together with our partner, the business, and at the same time launched a rigorous transformation plan, right. And so last year we were negative, very significant negative equity free cash flow transformed the business and well on our way to be nicely positive this year. So very strong in our organic business and full confidence ahead. Now the market is a challenging market where we have more than four mobile network operators, low ARPUs, high spectrum cost. So it's a tough environment. Market rationalization totally makes sense, combining the two business, synergy of scale, allowing them better returns, better financial stability of the company that will then allow to responsibly invest in the networks and ultimately in customer experience and then on its turn, translating to sustainably and profitable equity-free cash flow for Colombia. So it's a bit of a mix of scale, rationalization, and then creating a strong number two operator that is able to invest into the networks.
Andreas Jossen: Perfect. Thank you.
Operator: Thanks, Andreas. So next we're going to go to Stefan Gauffin at BNB.
Stefan Gauffin: Yes hello. Two questions if I may. And hi Marcelo, nice to see you. And I'll start with a question for you. You mentioned that you talk about the return focused investments to sustain market leadership and drive customer growth in the second-half of 2024? You also mentioned investments in Columbia in the home business, but this is specifically focused on home or is it both home and mobile? And then secondly, is it more broad based across markets so any information you can give me there? And then I have a question perhaps for Maxime, but feel free the others to jump in, but you say now that CapEx for this year will be below $700 million. A couple of years ago the guidance was for around $1 billion of CapEx on sort of a yearly basis. The lower CapEx is partly coming from a slowdown in the rollout of the fixed network and homes connected. So how should we think about the CapEx a little bit more medium term? I mean, this year we're talking more about 12% CapEx to sales, whereas historically more like 15%. So any guidance here on how we should think here? Thank you.
Marcelo Benitez: Thank you, Stefan. Thanks for your questions. When we say return focus, what we mean is first, we believe that our network is the main driver for to capture this demand we see in mobile and fixed. And also it's a big driver for experience, right? So what we're doing is we're strengthening our fixed and mobile networks to capture this demand. And then after we go, I mean, after this first step, what we do basically is start to monetize this increase on demand in prepaid with very, very well planned price increases, then migration to postpaid, then convergence, that is the third step. And the same comes in fixed, right? Investment in networks, increase of speed, monetizing, developing our pool of the customers, and then it all ends up in convergence. So in Colombia, that's what we're doing. Last year was about focusing on short-term cash flow, but immediately we started to strengthen our fixed network. Then we started to see much more stable customer base, churn reducing, early churn reducing, and now we're ready to grow. So what we're doing is strengthening our commercial initiatives. We have more or less installed in the last four to five months 90 stores in Colombia that increase our capillarity and our reach to our postpaid customers. And we are working on all our channels in order to increase productivity and volume. So that's what you're going to see. And actually in Colombia, we are at the deflection point because in Q2, I mean, at the end of Q2, we start seeing net ads positive in home. And as you know, this is our largest home business in the group, right?
Bart Vanhaeren: And then in terms of longer term CapEx, which I think was the other part of your questions that find as you know, and as Maxime said, there's been a lot of focus on efficiencies, not just on OpEx, but as well as on CapEx. And that's what you're seeing reflected in our performance this year. We obviously haven't given longer term guidance, but as Maxime said, a lot of what we've been doing over the past year is sustainable and recurring in nature.
Maxime Lombardini: Just to complement, Stefan, on CapEx, we did something quite simple on the home. We focused on HFC upgrade. We had a strong feeling, which was that it was possible to get much more from the current footprint in terms of bandwidth. So it is something which has been partially done already that we will try to finish by the end of this year. And it provides immediate strong return for the current customers in terms of churn, in terms of satisfaction, and in terms of acquisition. It is one of the explanations why the KPIs on home are strongly improving. On mobile, we are focusing on network quality. Very important because the volume of data that our consumers are using is growing as you know, and we want to deliver a perfect service. So we are very selective on the payback of the new coverage, both on home and mobile. And we are doing on home the FTTH on a very practical way, not expanding everywhere, but really going where we have a need, because we have customers with a high option or because there is, we'd say, green fields where we have strong opportunities. And the last but not least, we have renegotiated very strongly many, many contracts with the vendors or with the IT providers and this has an effect in the medium term too.
Stefan Gauffin: Okay, perfect. Thank you.
Operator: Thank you, Stefan. [Operator Instructions] Next, we're going to go to Phani at HSBC.
Phani Kanumuri: Thanks everyone for taking my questions. So the first one is on Columbia transaction. It's actually a combination of three different offers that you're making to the three different sellers. How is the dependency within those offers? That is -- if the transaction with the Telefonica doesn't go through, would you still offer to buy out the minority stake in EPM? Or what's the dependency that you're seeing within these transactions? The second is how far along the process we are and what is the next steps in the process that you're looking at in the same Columbia transaction. So that's the questions regarding Columbia transaction. And maybe one more question for Maxime. So you did mention you have some more efficiency measures that are yet to be -- that could still give a better operating results. Could you mention what are the additional efficiency measures that could improve margins going forward? Thank you.
Marcelo Benitez: Phani, I think I'll take the first question. So we are early in the process, right? So we have a non-binding agreement with Telefonica on their majority stake in Coltel and we engaged to offer two La Nacion and to EPM to buy out their minority positions in Coltel and then in our 1 operation that we jointly own. In terms of dependencies, what obviously would need to happen is a merger in between the two entities, right? We cannot sit where we own half of [Indiscernible] and then two-thirds of Coltel and then put it in a silo or having things. So there is an absolute condition that the merger is allowed that goes through a regulatory approvals et cetera. And hence our partners in both companies have an absolute yes or no vote, because they would need to agree to a merger of the two entities as well. So all four parties will need to agree to this transaction. But in order to allow synergies and to allow all the benefits that I mentioned before, we need to have a merger. So that's the dependency, is that the merger happens. Then our partners have been very good partners for the last 10-years. And I think, not speaking on Telefonica's behalf, but I think that relationship there went very well as well. So they're very welcome to stay and drive with us on potential synergies. But at the same time, I think it's a very good liquidity option for the minority partners to step out. They've both indicated in the past that they would be willing to sell and hence I think it's a win-win for everyone and we are willing to step in. Next steps in the process is now making long-form agreements with all the parties, with the government and with EPM. This is a privatization technically, which is called in Columbia law 226 that's a privatization law and which has a number of steps that needs to unfold. First determining a minimum price and then an auction of the shares in which we will present an offer. So that will take a number of months and then it will take a number of months for regulatory approval. So don't expect, you know, still this year or the beginning of next year for this to close. There is still some work to do, but very positive momentum and positive reaction so far. So, good to start. Maxime?
Maxime Lombardini: Yes, so on efficiency, as Marcelo said, many are working in progress on the ERC, on the employees costs. We are continuing to reduce that till the end of the year, beginning of next year. So it will have a full impact next year and the years after. On the contractors, all the contract that we have we serve partly providing services on the sales, on field services, on IT, on G&A, we are really starting to work and we are confident we can decrease part of that. On content, we were locked in a big contract till the end of 2024. We hope we can do better for the future at the end of those contracts. On CapEx, I already mentioned. And very important, efficiency is not only on cost, but we think we can do better on the top line. It is something which is not easy to do, you can imagine, but it is going through offers, simplification, being more simple, we will be more efficient. We are pushing many commercial initiatives, both in terms of optimizing their cost and making them more efficient. And especially we are great believers in the FMC fixed and mobile convergence trend that we are pushing. Both pushing the mobile on the home customer base and pushing the penetration on home for both home and mobile. That would be the main lines, but we are confident that we can do still a significant improvement in the way we generate cash.
Phani Kanumuri: Perfect, yes. Thanks everyone. Thanks, all the best.
Operator: Thank you, Phani. So we don't have any more questions in the queue, but we received a couple via email. So the first one, I think, Bart, this is one for you on Columbia. And the question is around the transaction or potential transaction? How much incremental EBITDA would the $1 billion of additional equity investment in Colombia bring to Millicom? And then, intermarket consolidation is usually very margin-accretive. Are there any thoughts around synergies? So that's the first question. And the second question is what we should expect for spectrum payments in the next few years at the group level? So Columbia?
Maxime Lombardini: I'll take the first one. Margin on the additional $1 billion. So the $1 billion is equity value. So there's also the total investment enterprise value is bigger, you get an debt equity. That $1 billion may still fluctuate a little bit in terms of net debt adjustments when in between now and closing, as you would logically expect. But obviously, if we look at Colombia, it is still a country that is, although we have significant margin expansion, we're now at 39.5% of the EBITDA, but it is one of the countries that is not in the 40s. Millicom Group is 43.5% of the EBITDA. Somebody told me this week this is the highest we had in 10-years. So well done there. But we want to have all of our countries in the 40s. So if you think about it, that's what I would want to do, at least to contribute from that investment. Now in terms of synergies, yes, in markets mobile-mobile, a fix-fix is typically as good as it gets. But, you know, allow me not to comment right now. We're still early in the process. Let us finalize the work. And then when things are done, we can give you a full explanation and how the math will work out on that investment.
Marcelo Benitez: Regarding spectrum, I would say first that we've gone through a lot of them. I mean, acquiring spectrum in Guatemala last year, Colombia, Panama. So I think most of the countries we've already gone through that process, there will be some countries like Honduras where we will need to invest. So that's on the more organic, let's say, side of spectrum requirements for the ongoing business. And then we have 5G, where we do see some auctions coming this year and next year. But we believe all these are coming with a very rational approach. That's what we've seen in all the countries. 5G handset penetrations are still very low. We're talking about 2%, 3% of our total customer base. So this will not come with a big CapEx, let's say demand. And there is a lot of rationality in the countries when they put auctions in 5G.
Operator: Perfect, thank you. So we'll go back to Stefan Gauffin, who has a follow-up question. Stefan from BNB.
Stefan Gauffin: Yes, so question on Guatemala. So last quarter you did price increases on prepaid in Guatemala and then you said it was uncertain how that would be adopted in the market if competition would follow. So this quarter we did see the benefit on service revenue, but we also saw that you lost a meaningful number of subscribers in that market? So how are you seeing the progress in that market? How has competition responded? Are you seeing them following in terms of price increases? Thank you.
Marcelo Benitez: Thank you, Stefan. No, there is -- as I said, there is a more rational market in Guatemala, as you can see, as a result of that, we've increased from 2% to 3% revenue growth. Of course in the middle, in these transitions, there are some effects in the customer base, but we don't see that as an issue. I mean, we've been operating in Guatemala. We have a very strong commercial approach, good grip on the prepaid pillars, distribution. We have a very good network and our pricing is also very, very, I mean, it's very affordable. So we don't see an issue in the mid-term on the customer base. It's more about tactics. So the outlook is one, a more rational market and better commercial dynamics in the coming quarters.
Stefan Gauffin: Okay, thank you.
Operator: Okay, thanks, Stefan. So that was our last question for today. Thank you very much, everyone, for participating, and we'll see you next quarter.